Operator: Good evening. This is the Chorus Call conference operator. Welcome, and thank you for joining the Campari Group Full Year 2025 Financial Results Conference Call. [Operator Instructions] Today's call will be hosted by Simon Hunt, Chief Executive Officer; and Francesco Mele, Chief Financial Officer. At this time, I would like to turn the conference over to Mr. Simon Hunt. Please go ahead.
Simon Hunt: Great. Thank you very much. Good afternoon, everyone, and thank you for joining us to go through our 2025 results and our perspectives for 2026. Francesco is here with me. As always, our IR team will be available after the call to deep dive with you in coming days. So let us start with a summary of our results. 2025 was a year in which we delivered a solid performance, supported by the strategic priorities we put in place at the beginning of the year. We navigated one of the most complex operating environments our industry has faced in decades. And a key message I want you to take away is that we are growing. We are growing top line, we are growing margins and we are growing profits. And while we continue to grow, we've increased our investments behind our strong portfolio of unique brands because we are confident in building long-term value. In fact, we've done everything we had said we were going to do. First, our outperformance in sell-out continued in a very challenging backdrop, and this is exactly our key focus. Organic top line growth was plus 2.4%, driven by growth across 24 countries, a clear testament to the relevance of our brands, matching consumer trends across geographies and reinforcing the potential going forward. At the same time, we further strengthened our gross margin profile with 100 bps organic accretion through our efficiency program. One point, we've been very clear on is that we see this environment as an opportunity to strengthen our position and gain market shares. And therefore, we're not shying away from investing behind our brands, leveraging the efficiencies we have achieved to increase our A&P to sales up to 17.9%, and this strategy will continue. Our cost containment program is well on track to achieve 200 bps organic benefit on sales by the end of '27. And in '25, we already recorded 70 bps improvement as guided. You can clearly see that all these efforts paid off, and we recorded strong profitability with plus 60 bps organic accretion on EBIT margin. On the balance sheet side, we made significant progress. 73% recurring free cash flow conversion shows the solid cash generation of the business. And as you all know, we put in place a major extraordinary CapEx program a few years ago to build our production capacity for our future ambitions. We're now nearing the end of these investments with a tail end in 2026, primarily focused on finalizing our distillery expansion in Kentucky. Our leverage is down to 2.5x from the peak of 3.6x after the closing of the Courvoisier acquisition in September '24. And we reached this level a year ahead of what we had guided, led by solid cash generation, our disposal program and effective working capital management. Now some of you may remember this chart from our Capital Markets Day presentation. Adding the 2025 figures to it shows acceleration in the underlying growth. Excluding the impact of the hurricane in Jamaica, we recorded plus 3% organic growth. Achieving this result despite the significant volatility in the operating environment shows the strength of our brands and the great work by our team of Camparistas around the world. Now this pace of underlying growth is expected to continue going forward, supported by our confident investment behind our brands and we are on track to reach mid- to high single-digit top line growth in the medium term, assuming a stable environment. The drivers will be the 5 areas that we highlighted in our CMD. First, sharper portfolio focuses with fewer bigger bets. Second, winning the first shared drink with new formats for new occasions. Third, accelerating our geographic expansion. Fourth, leveraging our investments to work harder against our new strategy. And finally, fifth, driving efficiency across each line of the P&L to allow us to invest more behind our brands. The top line growth that I mentioned was broad-based across all of our regions and all of our brand houses. In fact, as I said, we recorded growth in 24 countries, and we gained share in nearly every market globally, showing the results of our focus on fewer bigger bets and our geographic expansion. On the next page, you can clearly see the momentum that we achieved during the year with the accelerating quarterly progression across our main regions. I'm not going to spend too much time on this as we'll go through this in detail region by region. But what I will say is that our aim is to achieve sustainable and progressive evolution of our top line growth going forward. Now let's have a look at sell-out, which ultimately is our main focus. As I mentioned in the beginning, we recorded outperformance and share gains in sell-out in almost all markets despite a really challenging backdrop with overall shipments and sell-out relatively aligned across the U.S. and EMEA. In the U.S., we outperformed in the strategic on-premise channel with plus 8% growth, showing a 6-percentage point beat compared to the sector, becoming the #1 supplier for value growth in 2025. This was led by our priority brands with plus 15% growth in tequila and plus 15% in Aperol. And this momentum continued in NABCA with a growth of plus 10% in these brands. In EMEA, we also outperformed in each of our main markets with growth of plus 1% versus a market of negative 2% in the region despite the pressurized context. And our main aperitif brands, Aperol, Campari and Sarti, significantly outperformed and contributed to our growth. Germany was impacted by the delisting we'd already flagged earlier in the year and some retailer disputes in Q4. So now let's have look at our top line growth region by region, starting with the Americas. Americas grew plus 2%, driven by resilient trends in the U.S. ahead of the market and solid growth in the rest of the regions more than offsetting the impact of the hurricane in Jamaica. In the U.S., each of our brand houses recorded plus 2% growth in 2025, but this was offset by the softness we saw in SKYY. As I mentioned, our aim is to have fewer bigger bets and we see the positive results of this focus on our prioritized brands. Jamaica recorded a plus 1% growth despite the significant impact of the hurricane in Q4. Wray & Nephew and Magnum Tonic Wine continue to lead the growth in this region, where our brands truly are part of the DNA of the country. Given our production sites are only temporarily impacted, we expect to continue to benefit from the strength of our brands in the local market as consumption starts to return to normal. The rest of Americas, which makes up 12% of our group sales, recorded a solid plus 8% with broad based growth across most of the regions, except for Canada, where our performance was impacted by the tariff volatility. Geographic expansion will continue to be a key focus going forward. Now moving to EMEA. We recorded plus 2% growth with resilient trends and market share gains across our main countries despite the challenging backdrop. At the same time, geographic expansion continued. In Italy, Q4 benefited from an excellent execution of our winter campaigns on Aperol, delivering a plus 1% growth. And we see our portfolio approach in aperitifs bearing fruit, especially with solid trends in Campari, Crodino, Sarti Rosa as well as the spirits portfolio. In 2026, we will further support growth via the spread of Aperol on Tap during key events in peak season as well as the launch of new formats for new occasions, such as Campari Spritz Ready to Serve. In Germany, the backlog is very challenged, as you know. This is also leading to pressure from retailers regarding promotions as consumers' disposable income remains challenged. We're also cycling the impact of the delist that we previously told you about. All of this led to a negative 3% top line change in '25. But if we exclude the impacts I mentioned, we would have recorded plus 3% growth. mainly driven by the ongoing success of Sarti Rosa, which now accounts for more than 10% of net sales and continues to consolidate its position in the market. Again here, the benefit of our portfolio approach and Spritz leadership is evident. In France, our solid performance is continuing, mainly driven by Aperol and the successful launch of Sarti in that country. In the U.K., we recorded plus 7% growth, mainly driven by Aperol and Courvoisier. And this is another country where we launched Sarti in '25 and we're already starting to see the positive uptake. Crodino and the newly launched Aperol Spritz Ready to Serve are also accelerating, going from less than 1% of our U.K. business to more than 3% in just 1 year. In the other countries in EMEA, which contributed 18% of our overall sales versus 15% the year before, we saw broad-based growth across almost all countries, especially GTR, Greece and Belgium. And the bulk of the growth is coming from Aperol, Sarti Rosa and Courvoisier. Moving on to APAC. Growth was plus 4% in 2025, mainly driven by the outperformance and share gains in Australia. In Australia, we grew plus 7% with acceleration during the peak season in Q4, leveraging our increased focus in the on-premise. This growth was supported by double-digit growth in both the Aperol franchise and Espolon, our focus brand in the country. In the rest of APAC, we recorded plus 1% growth, mainly driven by Russell's Reserve and Courvoisier. In this region, we have made some significant changes to the management teams and organization, headed by the appointment of Sash Sharma as the MD of the region, and new MDs in 3 of our Asian markets. Going forward, we believe we can consistently enlarge our presence in the region, leveraging the route to market investments that we have already made. Now let's talk about the brand houses, starting with the House of Aperitifs. Here, we recorded a resilient growth of plus 2% in 2025, primarily driven by Aperol, Sarti and Crodino. As of this earnings release, we have started to report Aperol as a franchise, given the new format for new occasions that we will progressively introduce as we told you in our CMD, such as tap that we tested in '25 and ready-to-drink in the current year. For now, these figures primarily include Aperol bottle and ready-to-serve, which is 6% of the total. In 2025, Aperol performance was impacted by challenging operating conditions in its larger markets of Italy and Germany. But despite that, we recorded growth of plus 1%. U.S. shipments were flat in the year. Despite the volatility, though, Aperol still achieved a plus 15% growth rate in these all-imported on-premise channel. Outside of these 3 countries, there was a solid plus 8% across the other countries, reinforcing the global potential. Especially in Q4, as I mentioned before, we recorded a very strong performance, supported by the largest ever deseasonalization activations with excellent execution across the holiday and ski seasons. For Campari, the main impact on performance is coming from Brazil, where we had a very high comparison base from last year due to rapid growth and price increases. In addition, our sales were impacted in Jamaica due to the hurricane, and Germany due to the delisting. Outside of these 3 countries, the performance remains solid with plus 2% growth across our main geographies. The remainder of our aperitifs portfolio is growing double digit, with positive trends across the regions. Sarti continues its solid growth in its core German market, and also progressively benefiting from the rollout into other European markets as well. Crodino, our non-alcoholic spritz is also performing strongly across all markets with plus 7% growth, including the U.S. where it was recently launched. So let's move on to the next page. Whiskey was relatively resilient, supported by Wild Turkey in the U.S. with plus 2% growth, benefiting from the new campaign. And this was offset by demand-led product shortages in a premium variance in Russell's Reserve in H1, a point we've already flagged in previous calls. Jamaican Rum showed a solid growth of plus 9%, benefiting from positive underlying trends until the hurricane in Q4 and in the core U.S. market. In the House of Agave, Espolon grew 3% in '25. Growth was supported especially by Reposado, plus 8%, where we still under-index the category, while Blanco was negative 1% due to our focus on price discipline in a very competitive backdrop. Within the House of Cognac & Champagne, Grand Marnier was impacted by focus on pricing in a highly competitive market. Courvoisier recorded EUR 157 million of sales and was included into our organic growth as of May. As we already highlighted in previous calls, we are piloting some brand marketing in the U.S. and in the U.K., which is showing initial positive results. And we will come back to you regarding the future plans as they become more concrete, but with some very good progress made so far. For the rest, I won't comment too much, just to note that 22% of our overall portfolio is currently classified as local brands given their geographic concentration. SKYY remains an important part of our portfolio and great to see it back in growth showing a very positive performance in Q4, driven primarily by Argentina, which is now 27% of the total brand sales following a highly successful launch of SKYY Cosmic more than offsetting the ongoing softness in the core U.S., in line with the other players in the vodka market. As we shared with you at our CMD, Aperol is identified as our champion and will therefore receive the highest share of A&P investments. As part of this, we already started to implement this strategy in Q4 with the strongest ever holiday activations across the U.S., the U.K. and Italy. As of the beginning of the year, we are also activating proactively across the slopes of winter locations, as many of you have probably seen. In the U.K., White Christmases Are Overrated campaign took over tube station, covered buses and walls across London. It was supported by visibility in key off-premise locations. And we doubled the spend versus the previous year, reaching 92% of spirit drinkers in London alone and 21 million consumers nationally and connecting Aperol with iconic winter moments at the famous Somerset House ice skating rink in Central London. In the video, you can see some of the key achievements of Aperol throughout the year in the U.K. but a highly successful year with plus 11% top line growth. In the U.S., we launched our first ever Aperolidays campaign with Vampire Diaries star and Aperol Spritz fan, Nina Dobrev at the forefront. Results show 600 million earned media impressions and a 78% increase in Aperol mentions in social media versus the previous December. We continued our pace of activations with Espolon to continue to drive awareness and trial across key cities in the U.S. and via social media influencers and PR. We were present at ComplexCon in Vegas for the New York City Halloween Parade as well as the Latin GRAMMYs and Dia de los Muertos celebration in L.A. We also activated our impactful drone shows in Austin and L.A. with over 1 million impressions. As I mentioned before, on Courvoisier, we're now finalizing the new strategy and the planned relaunch. In the meantime, in key markets like the U.K., we are running interim campaigns. And these campaigns already started to have an impact showing the brand has the potential to carve out its rightful place in a tough category, especially in recruiting the next generation of cognac consumers. In fact, we recorded a 7-percentage point increase in penetration amongst 18- to 35-year-olds in the U.K. I'll just remind you all that Courvoisier is the Most Awarded Cognac House since 2019 based on the top 20 spirits competition. Okay. I'm now going to hand over to Francesco, who is going to take you through the P&L and the balance sheet. Francesco?
Francesco Mele: Thank you, Simon, and hi to everyone on the call. Let's start looking at the drivers of our adjusted EBIT margin in 2025. I'm happy to say that we have recorded solid results with 60 basis point organic adjusted EBIT margin accretion, supported by gross margin gains and cost containment benefits, while we accelerated brand-building investment as planned. In terms of gross margin, we recorded 100 basis points organic accretion in 2025, supported primarily by input cost benefit, especially driven by agave. Within this number, the impact of tariff was EUR 11 million. This was lower than we originally expected due to ongoing benefit of the pre-tariff in our inventory position we are holding also in the last quarter of the year. Given the challenging backdrop, pricing provided minimal contribution in 2025, but can prevent opportunities going forward as market conditions normalize. A&P to sales closed the year at 17.9%, up 100 basis points organic from 16.7% in 2024. As Simon mentioned before, we are fully committed to reinvesting efficiency behind our brands, in line with our new portfolio strategy. This means that we are concentrating our investments on fewer bigger bets and supporting the brand that we believe has the higher growth potential going forward. You saw some of these investments earlier in the presentation. On cost containment, we have a clear road map that we shared with you at the beginning of 2025. Our aim is to achieve 200 basis point SG&A organic benefit on sales by the end of 2027. In 2025, we already achieved minus 1% organic decline in SG&A, leading to 70-basis point benefit, which is slightly higher than our initial guidance of 50 basis points as we accelerated savings initiatives. Accordingly, adjusted EBIT landed at EUR 637 million. Within this, there was a limited net impact of minus EUR 1 million with perimeter and FX offsetting each other. Let's now move into full P&L. In 2025, we recorded adjusted net profit of EUR 386 million with 3% growth, mainly driven by positive evolution of EBIT. Reported group net profit was up 72% due to the high base of operating adjustment in 2024, which was EUR 213 million, mainly including accruals related to the 3-year cost containment program. This year, operating adjustments were EUR 69.3 million at EBIT level due to asset impairment of EUR 90 million and settlement payment of EUR 31.1 million. which were partly offset by EUR 55.3 million business disposal capital gain. Total financial expenses before exchange effect was EUR 101 million, with increase versus 2024, driven by higher average net debt. EUR 2.3 billion versus EUR 2.1 billion last year and base effect of high cash position ahead of Courvoisier closing following the capital increase. Average cost of net debt is at 4.4% versus 3.8% in 2024. Under the earn-out income expenses and hyperinflation effect line, we had operating adjustment of EUR 49.6 million, driven by the reduction of earn-out of Courvoisier. Lastly, under the profit loss related to joint ventures and other investment line, there were EUR 54.6 million nonrecurring impairment of investment related to Capevin for EUR 59.4 million, net of EUR 4.9 million gain from Tannico business disposal flowing through the Dioniso JV. The recurring tax rate was realized at 30.2%, up 40 basis points versus 2024 due to unfavorable country mix. Recurring cash tax rate is at 27.7%. Lastly, I will cover the key balance sheet indicator on the next page. We achieved a positive trend in operating working capital as a percentage of sales, down to 44% from 47% in 2024. This was driven by effective cash management, which was partially offset by an organic increase in maturing inventory of whiskey, cognac and rum. This means that maturing inventory increased to EUR 1.2 billion, which is in line with the guidance that we provided in our CMD and at a comfortable level to support our future long-term growth. Finished goods inventory on the other hand remained stable. On CapEx, we are maintaining the trend in maintenance CapEx at 4% of sales, in line with our historic envisaged general rate. Extraordinary CapEx was EUR 143 million, driven mainly by our production quality and capacity enhancement program as well as ongoing IT investment, with finalization expected in 2026. The remaining part is primarily related to the distillery expansion in Kentucky. We also achieved solid cash flow generation with recurring free cash flow conversion of 73%, EUR 571 million, again, in line with our guidance and plans. On leverage, as Simon mentioned at the beginning, we reached 2.5x a year ahead of plan, supported by solid business momentum and financial discipline. We expect this ratio to remain at a sustainable level in 2026 with some potential saving considering the finalization of the extraordinary CapEx. Now I will hand back over to Simon for the rest of the presentation. Thank you.
Simon Hunt: Great. Thank you, Francesco. So look, I'm going to briefly touch on our ESG-related initiatives and position. And you can find much more detail in our annex or the summary 200 pages in our annual report, which has all of our key figures and targets in it. In terms of ratings, we have continued to make good progress and are positioned at the leading levels in our industry and have also achieved upgrades in '25, for example, on the MSCI ESG Rating. As you can see on the page, there have been significant developments in our key metrics. As you know, we publish our ESG initiatives and figure in 4 key areas, which are the environment, responsible practices, community involvement and our people. In the area of environment, we've recorded a significant improvement compared to our 2019 baseline in emissions, water consumption and waste to landfill. In '25, we also set new targets on absolute Scope 1 and 2 emissions and circularity. In terms of our people, we've achieved a Fair Pay Certification for the second consecutive year and also set new targets in this regard in 2025. Responsible practices is also a key focus area. And here, we not only hold awareness campaigns on responsible consumption, where we'll also work to ensure our procurement practices embed all aspects of ESG. In addition to these initiatives, we continue to work on making our production plants more sustainable. Accordingly, we've invested EUR 40 million in sustainability-linked CapEx this year, of which EUR 16 million was related to water and EUR 24 million related to energy efficiency. Lastly, and very importantly, following the severe hurricane that took place in October in Jamaica, we showed our support to the local community with a donation of JMD 250 million, a contribution that was very much appreciated by the community and the Jamaican government. So let's have a quick look at the evolution of our strategic priorities in '25. And in terms of cost containment, Francesco already mentioned in detail that we are on track with our plans. In the last 2 quarters, we actually had a year-on-year decline in SG&A and closed the year with negative 1%. On the business streamlining, we announced the disposal of Averna and Zedda Piras in Q4 for a total consideration of EUR 100 million, with the closing expected in Q2 2026. Including the previous disposals, we will have disposed of 3% of the portfolio so far. We still have discussions ongoing and the timing of further potential disposals will be based on the optimization of proceeds with no rush, given the robustness of our business. And I want to be very clear on this, we don't have to sell anything, but we are choosing to if we can see a sensible value and balance our value with the benefits of the focus it can bring to executing our new strategy. As we mentioned in the CMD, we put in place a new 4 business unit structure as of 2026, including Europe, North America, APAC and developing markets. And just as a reminder, this is how we will be reporting the business going forward. We've given quite a lot of reference to our Strategy Day during this call, which was our first ever, and thanks again to all of you that connected or joined us in Milan. So now let's take it a little further. As we talked about in the CMD, our mission is very simple and execution-focused, to win the first, shared drink, every day, everywhere. To win the first, shared drink, every day, everywhere. And our new strategy is being rolled out across the group. In fact, so far, I've met with nearly 2,000 Camparistas this year and are aiming to meet every person of the team by the end of the year. We are embedding the new strategy across everything we do and grounding it in our unique Camparista culture. And this will be the leading light in ensuring we reach our ambition and our midterm guidance. Now as a reminder, our midterm guidance is also clear. Basically, no change, but that is assuming a stable environment. We are confident in achieving cash generative and margin accretive growth with outperformance, focused on the areas we took you through in the CMD. So let's have a look at what's new. Innovation is a key focus for us this year. This means new formats for new occasions like the launch of our new Aperol Ready to Drink and Campari Spritz Ready to Serve, in line with our portfolio strategy. It also means the expansion of Aperol on Tap that we piloted for the first time in select markets in '25. Sarti Rosa already saw significant expansion to new markets in '25, and we will continue to support its growth in 2026 with further reach. Bolder investments. What this means is continuing to invest behind our brands, both in terms of A&P but also commercial strength. For Aperol in the U.S., we have already hired and put into the market 21 brand activators across 11 states and cities to drive the acceleration in growth. We are also further stepping up our A&P spend on key brands as outlined in our portfolio strategy with our focus on fewer bigger bets. In terms of execution, we have a new governance to accelerate decision making, a new business unit structure to drive our expansion and a renewed and energized team. We're also driving revenue growth management actions, which will ensure we are effective in the market with a clear playbook across the various regions. And while we do all of this, we also continue to be extremely disciplined on our costs, our COGS, our A&P and our SG&A, as we mentioned, at the CMD. On COGS, we have initiated our end-to-end supply chain optimization, focusing on our input costs, our operating efficiency and leveraging our extraordinary CapEx program. On A&P, we are driving our efficacy and effectiveness and targeting a meaningful reduction in our nonworking cost base to target a 10% to 15% efficiency in A&P to reinvest behind our brands. That's equivalent to about EUR 50 million. And this is a significant increase in consumer-facing investment. On SG&A, we remain on track to deliver the 200 bps by the end of '27. Now lastly, we will maintain strong balance sheet focus. You've already seen the progress we've made on leverage, and we will continue to keep a comfortable level, also with less relevance on bolt acquisitions for now, while we continue to streamline the business. Now having talked about what we will focus on, I'll also comment on what that means in terms of our financials for 2026. Assuming a challenging but stable operating environment, our industry outperformance with the pace of underlying growth is expected to continue in 2026, on track to reach mid- to high single-digit top line growth in the medium term. Clearly, we are seeing an elevated volatility currently, which we're going to have to continue to monitor. Next, contained organic accretion in EBIT-adjusted margin with a skew into the second half due to the front-loading of A&P investments and the base effect of tariffs, which affected the second part of 2025. Gross margin and moderate COGS tailwinds offset by U.S. tariffs impact, assuming a stable outlook again, with an estimated impact of about EUR 30 million. Further increase of A&P investments while focusing on ensuring effective mix to support continuous enhancement in on-premise execution, in line with our new portfolio strategy. Ongoing benefit of SG&A containment, circa 70 bps in sales in 2026, reaching a cumulative impact of 140 bps in 2 years out of the 200 bps we've guided by the end of '27. As a perimeter impact of around EUR 70 million due to disposals on top line and roughly EUR 30 million EBIT-adjusted margin, and FX will be subject to currency evolution. Leverage to be maintained at sustainable levels, considering the tail end of the extraordinary CapEx program and operating working capital dynamics. Disciplined capital allocation with focus on sustaining growth momentum, portfolio streamlining with about 3% of our net sales already disposed and less relevant on bolt-on acquisitions for now. And finally, a step-up in our dividend payout with DPS up from EUR 0.065 to EUR 0.1, indicating a 54% increase with a payout of 35%, leveraging strong cash conversion, accelerated deleverage while still maintaining financial flexibility. Now while business growth remains our biggest priority, there are several reasons why we've made this decision on dividends. Our new strategy of focusing on fewer bigger bets means there is a new capital allocation rationale. We are deleveraging faster than planned, and we are very optimistic about future further deleverage as our extraordinary CapEx program comes to an end with the current year, and we expect to remain disciplined going forward given the fact we have everything in place that we need to be able to grow. We want to reward shareholders with a more balanced CSR, also through an increased contribution from dividends. Given that our peers are already significantly higher than us in terms of payout, we believe this will be appreciated by the market and reinforces our belief in the strong fundamentals of our business and our cash generation capabilities. Going forward, based on the evolution of our business and balance sheet, we will evaluate the path for dividends and potential additional increase on payout ratio. Before we close, I'd also like to note that as of 2026, we will be moving to a top line only reporting in Q1 and Q3. This is a norm for our industry and actually even more widely adopted across many companies. It's going to allow us to ensure we keep investors updated with the developments of our business while simplifying our reporting, ensuring we can focus on executing our strategy and consistent with our focus on a longer-term horizon. As always, we will continue to hold our analyst calls and give you updates on our guidance in case of any revisions. Okay. So that's the prepared remarks. I'm now going to open up the floor for any questions.
Operator: [Operator Instructions] First question is from Andrea Pistacchi, Bank of America.
Andrea Pistacchi: Simon and Francesco. I have a question on the U.S. and one on Italy, please. So in the U.S., the industry clearly remains challenging, but you're clearly outperforming. In Q4, the outperformance, I think, was mainly driven by Aperol and Espolon, which are back both to pretty strong growth. I think -- I mean both brands seem to be growing faster than they were 6, 12 months ago, at least based on the data we see. So I wanted to ask what do you think is driving this acceleration? Is it the increased focus that you are referring to that you're putting behind the brands? And how -- in particular, Espolon, how do you feel about it in a category which clearly isn't getting easier. I'd include Diageo's comments about potential price reinvestment. And then Italy also had a strong end to the year, sales, I think, plus 5%, sellout plus 1%. The comparison base wasn't easy. You referred to good execution there. Could you give maybe a bit more color on this? Is it the rollout of your Spritz portfolio? Is it cracking down on Aperol me-toos? And would you expect this more positive momentum in Italy to continue also given that you'll be starting the rollout of the new Aperol formats.
Simon Hunt: Thanks, Andrea. Yes, good questions. Look, I mean, I think ultimately on this, I think you'll see this isn't just on the U.S. and on Italy. I'll probably answer both markets with quite a similar answer. I think what we've managed to do with the new portfolio strategy is focus the entire organization about the most important brands. And as a result, that has improved our planning through Q4. It's improved our execution in Q4. And having been out in the market during Q4, I was absolutely delighted with what the team managed to do. They got out the execution was great. Our displays look great. We look better than I think we've ever looked before across all of the markets. And so I think the combination of the focus of the team, the fit with the portfolio strategy, I think we are more aggressive in terms of displays than we've been before. And I think, ultimately, on this, the performance in the U.S. on Aperol and Espolon stands up to it, plus 15% in the on-premise, plus 10% in NABCA. We were more competitive in the tequila category than we had been on Blanco in the final quarter. As we know, it's a key time of year where we can bring consumers into the franchise. But all in all, it was just better execution, better plan and passionately executed by the team.
Andrea Pistacchi: If I can then just squeeze one in, please for Francesco, on gross margin. You had a year of very strong gross margin expansion, 100 basis points in '25. Q2 was better than I think the Street was expecting. Q3 was better again. Q4 another beat. You mentioned that the tariff turned out to be less of a headwind. Now for '26, though, you're suggesting a more muted level or probably no -- I mean a couple of things sort of offsetting each other. So I read it there's probably not much gross margin expansion. So could you provide a bit more color on these gross margin drivers? And is the EUR 30 million tariff impact that you're talking about for this year. Is that incremental or -- to the -- I mean you had EUR 11 million impact in '25, and for '26, it's a EUR 30 million incremental, all incremental.
Francesco Mele: Thank you, Andrea. So EUR 30 million is the total tariff effect for 2026 to clear. So essentially, that's compared with the EUR 11 million we had in 2025. Clearly, 2025, we were able to compensate with some strategic management of our inventory position. I would say that you are right, we expect that 2026 to still have some benefit in terms of cost on the COGS side, but this will be more than offset by the full effect of tariff. However, we expect to compensate it with good mix impact coming. So all in all, we expect to have a positive impact in terms of COGS, clearly very different from what we have seen in 2025, but still we see a positive upside. And to be fair, we are still working to improve further our efficiency on the manufacturing side.
Operator: Next question is from Sanjeet Aujla, UBS.
Sanjeet Aujla: A couple from me, please. Just going back to your outlook for 2026. I kind of interpret that as sustaining the underlying growth you achieved in fiscal '25 of around 3%. And what are you embedding into the U.S. within this? Do you think the U.S. can achieve that piece of growth for the year ahead, just given some of the challenges we still see in the market? And I guess, just tied to that, how are you thinking about the pricing environment in the context of what we observed to be a negative pricing environment in the U.S., still weak in Europe. You spoke about minimal pricing in 2025. So I guess your outlook is just entirely predicated on volume growth. Is that fair?
Simon Hunt: Yes, look, good questions. I mean I think, look, in the current environment, I'd be crazy if I didn't say it's definitely dynamic. I think everyone is responding to that situation. So we're going into it cautiously on the underlying growth, and we think we have different levers to focus on. We think our portfolio really plays to that aspirational yet accessible price point. We think the focus and execution that the team is putting behind it gives me a lot of confidence. And also remember, we have opportunities that other companies don't have. And so if you put all those things together, I think that's what we're looking at in the U.S. More specifically, your question on pricing. I think in terms of frontline pricing, it's going to be quite a tough environment to see that coming through. But there are still opportunities on revenue growth management, as we talked about. It's an area where we probably have a bit of catch-up to do, which gives us a few levers. But also in terms of that, I think the environment we're seeing, there are still opportunities for us to go after. I'm not going to give you specific numbers for our targets in the U.S. I think we have to wait and see what comes out. But one of the overriding messages is that we've got really good plans. We could just do with a bit of a stable environment for the whole balance of the year.
Sanjeet Aujla: Can I just sneak in a follow-up on Germany? Clearly, some disruption from retailer disputes in 2025. Have those been resolved? And how are you thinking about the setup there in '26?
Simon Hunt: Yes. Sanjeet, I'm not going to comment too much on our European retailer conversations at the moment because I think you know they're still pretty live. And normally on these things, what happens in one year forms a big part of the negotiations. All I can say is I'm positively encouraged by what I'm seeing so far. I'll leave it at that for now.
Operator: Next question is from Laurence Whyatt, Barclays.
Laurence Whyatt: A couple from me, too. Just wondering if you just give us a status update of the 21 people you've hired in the U.S. to do Aperol marketing. Is it quite a substantial increase in the marketing team there? How are they landed? Have you seen any immediate impact? Is there anything unexpected from having such a large number of people doing that one brand? And then secondly, on the increase in dividend, when we go to a 35% payout ratio, is that the sort of level that we should expect going forward? Or is there -- would you expect a continued step-up as the balance sheet continues to strengthen?
Simon Hunt: Laurence, yes, absolutely. I mean in terms of 21 people, Francesco and I were at the U.S. conference last week, at which point we met them. So it's not a number on a page. They're already part of the team, varying stages of getting going with it. So it's very early stages. But what we want these people to do is to really go out and tell our story of Spritz leadership. Yes, it's led by Aperol, but we have a great story to tell and doubling down, as I said at the CMD on the key markets where we already are, but we know we've got further opportunities to go. In the current environment, getting out into the trade, really making our brand come to life is a big, big opportunity because a lot of people are not doing that. So we see a competitive advantage of having those people already hired and hitting the street literally this week. So I think that's great. I think in terms of the dividend side, I think we'll continue to evolve, and I'll pass that one to Francesco.
Francesco Mele: Thank you, Laurence. On dividend, I think we decided to move considering the different phase of our development. We actually think if we look at the -- any criteria or KPI in terms of dividend yield on one side or payout, there is still room to grow. We will monitor our ability to grow dividend depending on our requirement and our ability to deleverage. So we remain flexible. We think there is room to grow even more. Dividend yield, we are probably at 1.5%. So if you look at the other peers, they are 2%, 3%, 4%. So they are pretty different. And payout varies and so there are different payouts also depending on the different situation of the company, the different capital structure. So we -- I think we now because of our pause on M&A, I think we have flexibility. And so we decided that was something that would enhance our total shareholder return also with the contribution of dividend.
Operator: Next question is from Mitch Collett, Deutsche Bank.
Mitchell Collett: Two questions, please. Just coming back to the commentary on margins in '26. I think you said gross margin, including the tariff impact likely slightly up or maybe flattish and you're going to increase A&P again. So I guess would it be sensible to assume all in a similar level of organic margin expansion in '26 to what you achieved in '25? And then perhaps more for Simon. Clearly, there's some uncertainty about industry pricing. In a scenario where you did see competitors take a much more aggressive approach to pricing, particularly in key categories for you like tequila, what would be your response? Would you hold your price where it is? Or would you follow them in order to remain competitive?
Simon Hunt: Mitch, listen, I'm going to pass the margin one over to Francesco, and then I'll take the one on pricing.
Francesco Mele: So on margin, clearly, we are seeing some improvement, but not to the level you have seen in 2025. There will be essentially strong contribution from SG&A, that's for sure. The increase in dilution in investment in A&P would be lower, but then the contribution coming also from gross margin due to the tariff essentially is going to be lower. Also, in general, we see less opportunity or less visible opportunity in cost benefit. But in general, also we see an accretion coming at EBIT level but to a lower level compared to what you have seen in 2025.
Simon Hunt: Okay. Great. Thanks, Francesco. So Mitch regarding -- there's a lot of speculation on price at the moment. And the benefit is we've done this for a long time. I've never seen price readjustment build long-term equity. So from a short-term basis, yes, there may be some headwinds, but actually, our focus is getting our team to execute in the strategic on-premise is investing in establishing equity and making sure that our brands equity and in the consumer's eyes match our pricing. So I think that we'll continue to see it, but we take a longer-term view of building the equity that we think it takes a long time to get these prices up at which point I'd rather invest behind the equity, make sure the consumer sees the value versus getting a short-term price fight.
Operator: Next question is from Trevor Stirling, Bernstein.
Trevor Stirling: Simon, a couple of times you talked about a stable environment and quite a few talked about medium term. And I wonder if you could just be slightly more -- don't expect it to be precise, but how would you define stability? Are we looking at a world where just the pricing environment is stable or the industry is back to mid-single-digit top line growth? And likewise, medium term, is that sort of 2 to 3 years? Or is that 1 to 5? Just could be a bit of a range on medium term.
Simon Hunt: Yes. Trevor, you know me well enough, I'm not going to pull out a crystal ball because I found in this game, it's not a winning strategy. But I think, look, there's a couple of things we're saying in terms of stability. In the last 6 days, we've seen the world change again very, very quickly. On top of that, the geopolitical challenges we saw last year, some of the activities in the marketplace, we had to respond very quickly to. We had natural disasters of hurricanes and various other things coming through. So I think when I talk about a stable environment, it's actually having confidence in what the tariff situation may be, having confidence in the geopolitical situation. Clearly, the weather, we can't do much about other than respond the way we do, which is kind of bounce back and get our numbers back to where they need to be. So I think at the moment, it's more, I think, probably caveating our ambition a little bit on what we can't control. Based on what we can control, we're confident of getting to our midterm guidance. And I'm not going to be drawn into kind of where that is at the moment. But I think you see the progression that we're making of 2.4% last year, underlying of 3% this year, we're heading in the right direction. And as I shared at the CMD, we're very clear that we've got the plans, the geographic expansion, the opportunities and the team to be able to actually deliver against that. And I think 2025 is a great example of us managing to show that in what was a very, very tough year.
Operator: Next question is from Celine Pannuti, JPMorgan.
Celine Pannuti: My first question is on Aperol performance, which clearly accelerated. Is it possible to understand what's the difference in growth on on-premise versus off-premise? And you mentioned that 60% of the business is now the non-bottle. Where you have -- I mean can you give us some example where you've trialed the Aperol on Tap and what are the ambitions or the plans for '26 on that development? Same, I would say, on RTDs and RTS. So that's for Aperol. My second question is on the outlook for the year. You mentioned H2 weighted profitability. In terms of top line, I note that you have quite an easy comparative in Q1. But -- so could you help us understand whether there will be any -- I mean is H1 more weighted on top line growth? Or is there activity through the year that will make a difference? And maybe just squeezing another one is, I think you did very well in emerging markets. Is there, you think, durability of that momentum as we look into '26?
Simon Hunt: Hi, Celine. I think, look, in terms of Aperol, as we said, look, 6% of our franchise at the moment is ready to serve. And what we are seeing is a really positive uptick of the convenience that offers consumers in all the markets we've been in. So we're seeing I think it gives us a lot of confidence that by expanding into more convenient formats, it opens up new occasions that at the moment, we haven't been able to tackle. So I think what we saw is that coming through in Q4. I think the other part, as I said in the presentation, we saw a bigger deseasonalization push. So we saw some positive lift coming through where we saw consumers enjoying Aperol over the Christmas holiday period and actually not relying on the sun to be shining to be able to do that. So I think that was a big part of what we saw in the off-premise. The difference between the on-premise and the off-premise is on-premise is where we put most of our focus. So as I quoted the numbers at plus 15% in the U.S., that's a big area where we believe we've got to build the brand and build the equity for the long term, which is why we're focusing more on that than we are on the off-premise performance, and that was reflected in the numbers. I think in terms of your question around first half, second half, I'm not going to comment on Q1 at this stage. What I will say though is that if you look at the investment profile that we have on our Aperol TV, we are heavy heading into Q2, Q3. And as a result, we see the benefit of not being so heavy on A&P running through in the latter half of the year. And I think that was more the focus in terms of the split. And I think the final question was on, sorry can't read my notes here.
Celine Pannuti: Emerging markets.
Simon Hunt: Emerging markets, that's right. Thank you. So I couldn't read my own writing there. I think on emerging markets, you look at the -- whether it's across the Americas or EMEA or even in APAC, you see the performance of the smaller markets. We've mentioned before in other calls that we have double-digit growth in a number of these, and that absolutely continues. And we are very confident on that, as I said, at the CMD, we have a significant geographic expansion opportunity for the portfolio. Aperol is leading the way on that, but we continue to see significant opportunities. The new structure we put in place, a dedicated team in APAC and also the team in the developing markets means that we can really now go after that with the right resources and the right team.
Operator: Next question is from Chris Pitcher, Rothschild & Co Redburn.
Chris Pitcher: A couple of questions for me sort of partly linked. In terms of Courvoisier performance. It was much stronger than certainly I had expected, but it's obviously still down quite a bit on what you acquired. It looks like that was a big chunk of your growth in the fourth quarter. How much of that is real growth and how much of that is just lapping some very soft comparatives? And then in terms of the investment behind the brand, you talk about building brand equity. You've got good operating leverage in all of your regions, obviously, apart from Asia where you put in what looks to be about EUR 15 million extra cost. Is that the cost in Asia now that you think you need to build those markets you were just referring to, Simon? Or is that an area we should just expect not to be profitable for a while yet?
Simon Hunt: Yes, look, in terms of Courvoisier, yes, there is an element of a perimeter coming into that. But actually, what was encouraging is that we are seeing a positive uptick on Courvoisier in a number of markets. So in the U.K., it hasn't really had much going on for quite a while. So the fact that we're now starting to get listings into the U.K. on-premise, we're starting to have activations around the key holiday periods. And also the interim campaign that we've used is bringing some new consumers into the category. So yes, there's a bit of perimeter in there, but there's also, I think, a positive movement in the fact that there hasn't been much on the brand. So the fact we've started that is giving us a bit of lift. In addition to that, when we can leverage 27 end market companies around the world, it also allows us to then start building more of the geographic footprint for the brand. So that's the second driver of it. But as I said, we're finalizing the strategy now. We'll come back and we'll share that when we're ready. We're not rushing as you rightly said, it's a tough category. We want to make sure we get it right. But I'm very encouraged by what I've seen so far. I think the second question on APAC, if I understand, it was more on the cost base. And I think we've invested in our in-market companies, whether it be in China, South Korea, Japan or even the structures in Australia and New Zealand. And at this stage, the key thing we're focusing on with Sash Sharma coming on board is relooking at all of the strategies. He's been in the business now for a few weeks. He's getting around, both Francesco and I are out with him in 3 weeks' time, meeting with the team to see kind of what we think will be the fastest way for us to get that cost base really delivering against the strategic ambition we have, which is to build more of the portfolio more successfully in APAC. We definitely under-index. So I think in terms of the cost base, I don't see it significantly increasing. What I do see is an ability for our revenues to start accelerating off the back of the investment that's already been made.
Operator: Next question is from Olivier Nicolai, Goldman Sachs.
Jean-Olivier Nicolai: First of all, on free cash flow was much better than expected. Could you perhaps help us how to think about it in 2026, and we should expect similar working capital improvements, similar CapEx and cash tax. And the second question, I know it's a little bit early to assess the situation in the Middle East, but what kind of impact on duty-free you would expect there?
Simon Hunt: First one, Francesco, you want to take the first one.
Francesco Mele: Absolutely. So if you look at the free cash flow in 2025, we have a recurring level of EUR 571 million. This included an improvement of operating working capital of EUR 35 million. So if you exclude that we are at EUR 536 million. So what's going to be different in 2026, you consider that we have indicatively EUR 100 million of extraordinary CapEx, including the finalization of our capacity in Kentucky, the headquarter, some IT upgrade. So this is part of the last part of extraordinary CapEx. This will be offset by the profit coming from the Averna closing, which is more or less the same. So the remaining part will have to do with the increase of the inventory, okay, which is something that -- on which we are trying to optimize. But we expect, in any event, cash flow to remain solid. So essentially, if you look at the level of EUR 500 million, that is before any change in operating working capital. As you have seen last year, we had EUR 100 million of increase in maturing inventory. This was offset by improvement on the payable and receivable. We keep working on both. So in order to minimize the impact.
Simon Hunt: Okay. And just answering the question on the Middle East. We've got a big caveat upfront. But we're 6 days into this. As a result, if we had to be having this call last week, we wouldn't be having this question to put it in context. So I think what we look at is we break it into 3 areas. We'll break it into domestic impact in the Gulf States and some of our business there. We then look at the impact on duty-free and what that may mean in terms of traveler numbers and airport penetration, and the third area is we look at what the impact may be on input costs through oil and gas. So at this stage, we've had a quick look at that, given the fact it's only just really happened. We don't see any material impact at this stage. We think they are manageable. We do not have a big business in the Middle East. We do not have a big business that skews heavy on duty-free in the Middle East. The bulk of our travel retail business is in Europe. And so I think we'll continue to monitor it pretty closely. From an input cost point of view, look, we've got some long-term contracts that I think give us a fair degree of protection through this year. But the key thing is that the business has been around since 1860. We've been through disasters and wars and various other things and I'm very lucky to have an extremely experienced team. So I think we'll navigate that as we come through.
Operator: Next question is from Alessandro Tortora, Mediobanca.
Alessandro Tortora: Just let's say, 3 questions, quick questions. Okay. The first one is if you can elaborate a little bit more on, let's say, the Crodino side, you recently introduced a bigger format and also if you see any other possible new brands in the, let's say, zero alcohol space or basically is Crodino your full bet? So this is the first question. The second one is on the perimeter change impact you see in 2026. Can you help me to understand if you're including Averna into these or, let's say, this is just, let's say, excluding Averna because I see this EUR 70 million, but also EUR 30 million EBIT, which looks, let's say, a little bit high. And the third question, sorry, is just on financial charges, considering that you were able to cap that close to EUR 100 million, so if you can give us some kind of indication on these.
Simon Hunt: Okay. I mean I think in terms of Crodino, what I'd start with, as I said at the CMD, is look, I think any other company would bite your hand off to have a viable non-alcoholic play that's got 60 years' worth of amazing Italian heritage. So I think we're in quite a good position to be able to leverage that. And I think there are probably 2 parts to it. One, we saw good performance in the home market in Italy. And in addition to that, in the markets where we've launched it, we saw double-digit growth in most of them. So I think the underlying opportunity with Crodino is significant. We're still working on how quickly we can roll with that. But the increase in size worked well. We managed to manage the pricing through on the Italian market and really encouraging signs so far from the international markets. In terms of Averna, I'll pass it over to Francesco, do you want to take that one?
Francesco Mele: Yes. Averna is included in EUR 70 million net sales impact and EUR 30 million EBIT impact. Clearly, the vast majority has to do with Cinzano but there is a portion also attributable to Averna, which we expect to close in Q2. Moving to financial charges. As you've seen, we have EUR 101 million in 2025. We expect the number to be similar in 2026.
Operator: Next question is from Paola Carboni, Equita SIM.
Paola Carboni: I have a first question about your A&P budget. If you can guide us a bit on what you expect in terms of commitment to raise your A&P budget for the current year. Second question is about the test you had started for canned Aperol. So you have -- you've spoken about Aperol in that, but I was wondering whether you have any update on the project for Aperol in can. And secondly, just trying to reconcile your indication of a 3% organic annual growth, excluding the hurricane impact, which would imply, if I'm not wrong, about 7% organic growth in Q4 alone, adjusted for that. So I was wondering why -- I mean, to what extent you see this as non-replicable at the start of 2026. So what you see as a non-repeatable, let's say, in this Q4 performance, which is driving you to a more subdued guidance for revenues in 2026, sorry.
Simon Hunt: Okay. Great. Yes, I think, look, in terms of the A&P, the guidance we give really is 2 things. Yes, we intend to continue to increase behind the opportunities that we have. As I said before, we've got some brands where we think we can really invest behind it and get a great return. We also have the opportunity of taking our brands into new geographies, which means we want to take up the A&P. I think also in the current environment, it's going back to Trevor's point, as I said, I passionately believe that investing now when other people are pulling back on their A&P gives us a disproportionate return on the investment. And I think the proof of that is what we managed to pull through in 2025. So I think what we guide that we'll see that going up. But perhaps more importantly, going out would be the consumer-facing A&P as we make our existing A&P more efficient by reducing our nonworking and the team is working hard in terms of that. In terms of your second question, any update on the can? Yes, the can is progressing at pace. We will be launching into 5 countries, and no I'm not saying which ones. So watch this space over the summer and hopefully, you can enjoy one. The third one was in terms of the 3% underlying, yes, the math is correct. It would have been close to 7% in Q4. And I think in total, we've estimated the hurricane impact about a $21 million impact. So in answering your question, why can't we have it again this year? It sounds like you're in one of my budget meetings. I was asking the same question. Look, we're keen to see what we can do, but we recognize, as I said earlier, it's still a pretty bumpy market out there. So I think we're cautiously optimistic, but we've got to see how the year plays out.
Operator: [Operator Instructions] Gentlemen, there are no more questions registered at this time.
Simon Hunt: Okay. Great. Listen, thank you to everyone that joined. As usual, any questions, please follow up with the team, and we look forward to seeing you over the next couple of weeks in many cases. Okay. Thanks for your time. Bye-bye.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones.